Operator: Good afternoon and welcome to Research Frontiers’ November 3, 2016 Third Quarter Investor Conference Call. All parties will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Seth Van Voorhees, Chief Financial Officer of Research Frontiers. Please go ahead.
Seth Van Voorhees: Good afternoon everyone. Please note that some of the comments made today may contain forward-looking information. The words “expect,” “anticipate,” “plans,” “forecasts” and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the Safe Harbor Provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company’s current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were emailed to it prior to this conference call, either in their presentation or as part of the Q&A session at the end. In some cases the company has responded directly to email questions prior to the call or will do so afterwards in order to answer more questions of general interest to shareholders on this call. [Operator Instructions] I would like now to turn the conference over to Joseph Harary, President and Chief Executive Officer of Research Frontiers. Joe?
Joseph Harary: Thanks, Seth. And as many of you know, Seth is our Chief Financial Officer who also heads up our VariGuard divsion. I am going to spend some time today going into what is underneath the numbers that we just reported so that you could have a better idea of the trends and future results. We received a number of questions from investors and I will address as many as I can today. I will try to be concise and if I have not fully answered any questions either in my presentation today or in the Q&A later on please feel free to e-mail me. So, moving right to the numbers. Because of the nature of our business is licensing company there are various fees and other payments that we receive from time to time that are nonrecurring. As we discussed on the last conference call there are lot of fees and other income items like the World’s Fair that occurred in 2015 that by their nature did not recur in 2016. When we back these nonrecurring items out we can focus on the trends and results of operations better for 2016 and make some predictions about the future. Let’s talk about automotive. The automotive market is currently our largest market. In our last conference call we went into quite a lot of detail about the results for the second quarter including the fact that this represents the fourth quarter of the model year Mercedes when typically sales volumes were down and they reduced production to make room for new vehicles at dealer showrooms. We also discussed other factors that made the second quarter total sales volume for Mercedes and total lower than usually would be expected. Obviously when discussing fee income for the full nine months of this year the lower sales results from the second quarter will have an impact on this. As you will when we discussed sales levels during the last two quarters our businesses rebounded and it is expected to rebound even further. We said in our prior conference call that we expected the third and fourth to be higher. Our prediction was accurate. The important thing to note here is that royalties from both of our main automotive licensees Asahi and Pilkington were up in the third quarter as compared to the second quarter. In one case by more than double the second quarter. Looking forward we have a solid and straightforward strategy in automotive. First, it is a market with very little if any competition for SPD. No smart glass technology can approach our combination of durability and performance. It took Daimler millions of euros to develop and validate this product for their Magic Sky Control panoramic roof. Any new technology will have to offer both high performance and the ability to meet highly stringent automotive durability standards. We are not aware of any other switchable technology that will be able to meet our high levels of performance and also meet the demanding requirements of OEMs such as Daimler in this market. We have a highly reliable product. There still has not been one reported failure of the SPD Magic Sky Control roofs in the tens of thousands of cars that have been on the road for years using our technology. The automotive press and customers continue to love the product. The dealers also love it because it in a source of profit and customer satisfaction. And our dealer awareness program is being well received and we have now expanded this to other regions. We have spoken already about expected growing revenues from increasing take rates and more cars being produced during the second half of this year. What about other OEMs which is a question that Seth and I get quite often. As I have noted in the past, we and our licensees have been working with the world’s premium auto manufacturers. Several of them that have already developed and tested their own SPD-SmartGlass products for their upcoming cars have told us that they’re looking to see what the take rates for the Mercedes S-Class sedan will be. If these take rates are high and the option is popular these other OEMs will pull the trigger and put SPD on their own vehicles. As I noted in our prior conference call we are indeed seeing these higher take rates. We told shareholders that our Annual Stockholders Meeting this past June to expect other OEMs to adopt SPD. We reiterated this in more detail on our last conference call in early August. Today I can give you one more significant detail about this new car. I can say that while we may not know exactly when this OEM will announce this vehicle because that’s up to their marketing department, I can tell you that we now know the start of production month for this. And there are other vehicles too beside this. I was asked in one of the questions emailed to make for this conference call about SPD being used on lower price but substantially higher volume vehicles such as the Mercedes E-Class. I outline part of our strategy above and it is bearing good results but to penetrate even further into high-volume cars it should be no surprise that the typical cost volume relationship applies especially when a technology like ours becomes a little more mature. We have a focused effort with RFI working with all areas of our licensee supply chain and their customers to target cost reductions in the final selling price of products using our technology with correspondingly higher sales volumes. These efforts will probably be the most important things that we can do going forward to further penetrate the high-volume automotive sales. Everyone in the supply chain understands this we’re all working together to achieve this as quickly as possible to further bolster our successes in the automotive market. Now let’s talk about the aircraft market. That is our second largest revenue market. In aircraft we have four very active licensees. Revenue from one of these licensees was temporarily down in the second and third quarters because of a design improvement that was requested by one OEM customer for several different aircraft models. So new window installations were down while this improvement could be implemented. As mentioned in the last conference call this is temporary and implemented have been implemented and revenue from this licensee is expected to be back up again in the fourth quarter. This year there were some very important developments in the aircraft market. The OEM market has always been an attractive market both in general aviation and in the much larger transport category airliner market. As know from our experience with the Textron King Air because of the long periods that aircraft remain in service interior upgrades in the aftermarket can make the aftermarket over 20 times larger a market than the OEM market. With recent developments now all of our aircraft licensees offer aftermarket as well as OEM products. In February our aircraft licensee Vision Systems partnered with New York Stock Exchange giant AAR Corporation for the aftermarket. Also in the aftermarket upgrade market, Fokker Services, a subsidiary of our licensee GKN Aerospace, introduced their SkyView large panoramic window at the Hamburg air show in April. More significantly about two weeks ago Fokker introduced a window targeted. In their press release Fokker indicated first delivery of this product in Q3 2017 which is less than a year away. Fokker has partnered with our licensee InspecTech on this to achieve the speed to market. Not only is this for single aisle and the larger dual aisle airliner market, which is the largest market in aviation, but this is also an aftermarket products which, as we noted, is a significantly larger market than just the OEM market. The new Fokker Element EDW window comes in a kit with an installation guide to make it easier for customers to incorporate this into their aircraft with a minimum of downtime during scheduled maintenance checks. One hallmark of our technology is there does not need to be a replacement of the outer structural window of the aircraft in order to make an SPD electronically dimmable window. So the aftermarket is a market that we have a particularly good competitive advantage over electrochromic windows which does require the change of the structural window. And one last thing to note of significance. In September our licensee Vision Systems announced the formation of their Smart Lite division. It has top management attention and focus and consists of a dedicated team of 40 people and an equal number of support staff. This represents the largest dedicated team devoted to SPD-SmartGlass technology in the world. Vision Systems has had a number of successes in all SPD markets that they’re in: aircraft, trains, mass transit, yachts and cruise ships. And I met with them yesterday and I’m pleased to tell you that they are adding another major market to this list besides the ones that I just mentioned. Let’s talk about some of the other markets. We’ll focus mostly on our top two markets today automotive and aerospace. The results have been notable activity in our other markets as well. The success of the World’s Fair project has helped tremendously in the architectural market for our technology. SmartGlass International recently published a case study about their University of Edinburgh retrofit project using SPD to protect interiors and save energy. Another licensee recently was awarded an upcoming retrofit project for another company’s corporate headquarters. Even though the size of this project is significant I think it is also significant that other SmartGlass technologies bid on this project and they were not selected. New opportunities are constantly now presenting themselves. Tomorrow I’m traveling to visit another one of these projects in the architectural market where we have some unique advantages. You also saw another growing market for our technology: trains and mass transit. At the September InnoTrans Show in Berlin there was quite a strong presence of SPD-SmartGlass technology and significant use at various locations throughout the show. Significant other new projects besides what we showed at InnoTrans using our SPD-SmartGlass technology are also in the works in the train and transit market. We continue to build awareness in all industries. This year I was the keynote speaker at two automotive glass conferences that were well attended by licensees, prospective licensees and OEM. We’ve also been focusing on the specific benefits that SPD smart technology offers in the growing electric vehicle market. And about a week ago I presented the benefits of SPD technology at the Autonomous Vehicle Conference in Detroit. After my presentation a number of people including OEMs lined up for about an hour to talk to me. These conference venues have shown to be effective way to meet the right people to introduce them to our technology and for educating the customer about the benefits of SPD-SmartGlass and how it compares in terms of performance and durability to other switchable glass technologies. This also will of course benefit our business development efforts in these areas. Moving to our balance sheet. It remains strong and debt free. As of September 30 we had working capital of about $5.5 million. Based upon existing cash and levels of expenditures even if our revenues stayed the same and did not increase as we’re expecting, our cash would be sufficient to fund our operations until at least early 2018. We were asked about the status of our patent litigation in which we’re suing E Ink, Amazon, Sony and Barnes & Noble for infringement of three of our patents. Nothing new to report here. A Markman Hearing was held last November and the purpose of this hearing was to interpret what the words in our patents mean. We’re still waiting for the judge’s decision. One last thing. I don’t usually comment on our stock price but there were a number of questions emailed to us about this so I thought it would be productive to touch on this briefly. Why is our stock down? People get spooked when they see a lower stock price. They think of all sorts of reasons and they try to understand why. That is human nature, and perfectly understandable, especially with individual investors. In our case, I think it’s important to understand that our stock price decline is not because of any fundamental reason regarding our business. Between quarterly earnings releases, the SEC requires all public companies to disclose any material change in their business, both positive and negative. And if you don’t see in any of our SEC filings any disclosure of any negative information, and we’ve had none, then the answer simply must be one related to the supply and demand for our stock which can move the stock price up or down. Let’s talk about supply. Short selling increases the supply of stock and I note that there was a fairly recent and notable increase in the short interest in our stock. This means that there was an artificially increased supply of stock which tends to result in a reduction in stock price. Also during this quarter I had asked the financial regulators to look into why the shortages in our stock during one particular went down by more than the total trading volume of our stock during the entire period. They are investigating this. If we were doing a financing and selling stock, this would also increase the supply of stock. However since we’re not in discussions with anyone about any financing and have not been for many years, I think I can rule this out as a reason. Another source of supply is that someone is selling a large position. We have not heard of anyone doing this. We could also be seeing end of the year tax loss selling. If this was the case, when it subsides, this should result in an end to the downward pressure on our stock. It can also be caused by a cyclical movement of money away from small-cap stocks. Many investors in small-cap stocks have seen their portfolio values decline this year. With good prospects ahead for us, I think we’ll rise to the top of this area of the market, especially as we show revenue growth. You can pick whatever reason you think is valid for an oversupply of stock causing our stock price to decline. I certainly don’t like it when there are “buying opportunities” in our stock. But when they exist, people have also been using them as opportunities to increase their position. So on the demand side, we’ve seen some of our larger shareholders increase their positions. And to answer another shareholder’s question that we received by email, insiders have not been able to take advantage of these buying opportunities however because the window is currently closed and we’re all restricted from stock transactions. So since there have not been any fundamental reason for our stock price decline, now that I’ve answered the questions we’ve received about this, I’ll ask the operator, Amy to please open up the conference to any additional questions people may have that are participating in today’s conference that we haven’t already covered.
Operator: Thank you. [Operator Instructions] The first question is from Ishfaque Faruk at West Park Capital.
Ishfaque Faruk: Hi good afternoon, Joseph.
Joseph Harary: Hi Ishfaque, how are you?
Ishfaque Faruk: Good. Okay, just a couple of quick questions. You guys mentioned in the I earnings release you have some OEMs in the pipeline. Is that a new OEM in addition to Mercedes or is that a new single model of a car?
Joseph Harary: That’s a new OEM in addition to Mercedes.
Ishfaque Faruk: And based on their discussions is that – are you talking to you with regards to this one car model or multiple models at this point?
Joseph Harary: Well, the initial development was for one car model but the plan is for them to expand it to other car models. We saw this same thing with Mercedes. Once you understand the design benefits of using SPD-SmartGlass, it tends to propagate within an OEM. So that’s the other discussions we’ve been having.
Ishfaque Faruk: And is this a major OEM? I think, you are not allowed to probably disclose this at this point, so could you give some sense on how big the OEM is or something along those lines?
Joseph Harary: It’s a fairly substantial and well known OEM that has a longstanding history of producing fine luxury cars. So it will be a name people recognize – it won’t be a newcomer, it will be a name people recognize.
Ishfaque Faruk: Okay. Could you give some additional color on the aircraft market? You mentioned in your release you are expecting a recovery from the aircraft market in Q4.
Joseph Harary: Right. Basically, we have several very active licensees in this area. In one case the OEM had requested some design modifications to improve the aircraft and until those design modifications could be implemented basically there is a lull in the revenues from that OEM for the different models that they are on. The design improvements have been implemented and ready, and production has already started, and deliveries of aircraft with those new improvements have started. So we’ve already started to see an uptick again.
Ishfaque Faruk: Okay. Could you disclose what percentage of your revenues came from automotive this quarter. I know you just released the 10-Q. If you could give us some color on that?
Joseph Harary: Without getting into a lot of specifics, typically between two-thirds and 70% is coming from automotive, and typically between 15% and 20% is coming from aircraft.
Ishfaque Faruk: And that was this quarter as well?
Joseph Harary: Yes.
Ishfaque Faruk: All right. Thank you, Joe.
Joseph Harary: Thanks a lot.
Operator: The next question is from Jared Albert, a Private Investor.
Jared Albert: Hi, Joe. Hi Seth.
Seth Van Voorhees: Hi, Jared.
Jared Albert: Hi. So I imagine most of us looked at the S-Sedans would contribute a lot more of these revenues they are, or did you know, given that it was new for the 2017 model on the [indiscernible] and the production started to hit lots at the very end of September. So can you give some explanation why these sedans didn’t bump up the revenues?
Joseph Harary: Well in the third quarter they did bump up the revenue. Remember, we had a slowdown in some markets and an increase in the others but early in the conference call, I mentioned that both of our automotive licensees had higher revenues in the third quarter, and in one case, it was more than double the prior quarter. So, we’re starting to see that rebound. These things typically work their way into the system. I think part of it that’s helping is our dealer awareness program, and the customer continues to love the product. So, I expect very good things from that.
Jared Albert: You floated a notion in the past that the S-Sedan alone can make us profitable and if you were to have a take rate of 30% on let’s say 80,000 units, a few hundred dollars of royalties per unit, you come up with a number that would at least get to breakeven.
Joseph Harary: That’s right.
Jared Albert: We didn’t see that this quarter though. What I am asking is, was there a full quarter production of S-Classes, was there builds that were early in the quarter that didn’t involve Magic Sky. I mean is there a reason that the revenues were essentially flat and was down from here from other quarters. You really see S-Sedans….
Joseph Harary: Remember we’re going off of a second quarter situation where there was a lot of disruption not only with Magic Sky Controls but with cars in general which we talked about on the last conference call. We have high hopes Jared that some of the things that we’re discussing with Daimler will continue to increase the take rates and that the S-Class could contribute alone for us being profitable.
Jared Albert: So you’re seeing reasonable take rates with S-Class?
Joseph Harary: I think anything less than a 100% is not a reasonable take rate, but I am little bit biased in that. I have high expectations, just like our shareholders do.
Jared Albert: Given refresh to the SLK and SL for the 2017 model year, wouldn’t you personally expected higher revenues from those models? Have the royalty rates dropped enormously?
Joseph Harary: We did get higher revenues from those models because of the refresh. The refresh of the S-Class doesn’t start until at least a year from now. So, you’re kind of in that place where the volumes typically will bump up usually by about 50% from where they were at this time in the production cycle for the S-Class.
Jared Albert: So when the SLK back when it was started and the SL, the revenue guidance was I think $100 to $150 a unit, right so beginning was it closer to $150. Are we closer to $100?. What I am trying to do is I am trying to understand why the revenues were legitimately lower? I mean if you look back at 2012 or 2013, we were getting more revenue from automotive. I know the take rates have gone up. The production numbers may have gone down. But I’m wondering if the royalty rates if we’re now at the low end of those ranges for example the $150 to $250 on the S-Classes?
Joseph Harary: There has been some cost reductions on some of the cars by not to that level where you’d see a big swing in the range. The reason we had to give a range, Jared, is that can’t disclose exactly what Mercedes is paying for the glass. They wouldn’t like that or me very much if I did that.
Jared Albert: Understood. But if you exclude everything in automotive for the fourth quarter so in the fourth quarter we’ll have a full quarter production of these S-Classes, these 2017 they are all from Magic Sky. Should we expect a very good bump in revenue or is this kind of the baseline for the S-Class?
Joseph Harary: You know, let’s just see how the fourth quarter turns out. I don’t want to predict anything because literally we just got the third quarter numbers about a week ago.
Jared Albert: Was this a full quarter of Magic Sky inclusion on those S-Sedans. That’s what I am coming [ph] to the question because there was…..
Joseph Harary: The answer to that question is yes but it also depends on what the order of book shows and what Mercedes is trying to achieve. It’s not necessarily pushing out the door every option. There is different times in the year when certain options probably get pushed out to the market, and that’s really a marketing decision.
Jared Albert: You didn’t say this quarter whether take rates were as high as they’ve ever been. Was that true for the third quarter? You see that for second quarter.
Joseph Harary: We had a peek at the take rates in the beginning of August. We haven’t got another peek at the take rates more recently but just judging from the numbers the numbers are up so now I’m optimistic. But I can’t say for certainty what the take rate is because we didn’t get a peek at the order system more recently.
Jared Albert: Are you disappointed by the revenues from the S-Sedans this third quarter.
Joseph Harary: I expected it to rebound. It did rebound. So in one extent it’s exactly what we predicted. Going back to my prior comment, I am always going to be disappointed with revenues until we are standard equipment on every car like aluminum wheels or NAV systems. You know we’re not resting.
Jared Albert: To get to standard we have to get down the experience curve and you are sort of your low revenue numbers indicate sort of very low firm production. So I just – I’ve been kind of following this long waiting for those S-Sedans and I expected much higher rate…
Joseph Harary: Jared in the interest of allowing other people to ask a question we could continue this discussion offline, but just to maybe give you a little more guidance as to what we’re thinking here, I am going to refer you back to a comment I made earlier which is, in order to get into higher volume automotive, it’s imperative that costs come down. And just think about a typical automotive manufacturer, not necessarily just Mercedes but anybody out there. So if you make the assumption that 20% of your MSRP is going to go to options, what you are going to do is you are going to have a economic incentive, because pretty much every automaker make their money on the options, to push the options that have the highest multiple of what you’re paying. Now there are some options out there like aluminum alloy wheels, for example, where you know the multiple is much, much higher than NAV systems or high-end stereos or Magic Sky Control. As you can imagine if you are an OEM, you’re going to push aluminum wheels on to people because you’re making a much bigger profit per dollar spent on that option. If you make the assumption that there is a kind of a rule of thumb in terms of what those options are, you know, you are going to push the ones that have the highest multiples to increase your total profit on options. Now, there is a limit to what you could do that people will accept. For example, BMW introduced on their 7-Series a roof and the only thing that was really added to that was some LED lighting that was put in the frame. And they charged a lot for that, and I can guarantee based on my discussions with some of the automakers, those LEDs didn’t cost a lot of money. So on that option, they’re making an extraordinarily high multiple of what it cost them. So going back to what I had said earlier, we have a cost reduction initiative going on with the key suppliers and that’s something that is very important to get our technology into the mid-market within the automotive industry, but it’s also going to help on the premium market. So think about what that means strategically and I think you will see some pretty clear paths ahead of us.
Jared Albert: Okay, I appreciate that. Thank you.
Joseph Harary: Listen to the replay also I think you will get some interesting insights.
Jared Albert: Okay.
Operator: The next question is from Jeff Harvey, Private Investor.
Jeff Harvey: Hi Joe.
Joseph Harary: Hi Jeff, how are you?
Jeff Harvey: Just to follow up on that a little bit, so you said you’re in some cost reduction initiatives with your suppliers. Is it up to your suppliers or is that something you can help them do as far as reducing cost? Are you working on that as well?
Joseph Harary: Well of course, we are always looking to make SPD more robust and more cost effective and easier to implement. Our technical team here does that all the time, they focus on that. But that’s one aspect of it. But also it’s a matter of the fact that we sit in somewhat of a unique position, Jeff. In some cases, we have limited information, and some cases we have more information than any one of our licensees because it’s not that we are smarter. It’s just that we talk to everyone, we are getting reports from everyone, we have 43 licensees out there and we are also talking to the customers. So by virtue of who we are as the head of the SPD industry, we get a lot of information, and that allows us to do some things to help people deploy their resources more effectively. So as I said, it’s not that we are smarter, we are just looking at things from the mountain top with a better vantage point and that’s one area where we are adding value. And the other is in business development, I mean, we have focused a lot of our time and resources, and that goes for Seth, for me, for Mike Lapointe, which are our key business development team here, in making sure all the markets are doing well. And by virtue of that, we talk to everybody and we know where the sweet spots are, and we help our licensees identify that. So yes, it’s kind of an overall effort. I mean, I can’t sit there and do much to reduce the electricity cost at the Asahi plant or something like that, but I could help them focus on other areas where they can achieve cost savings.
Jeff Harvey: Do you have a feel for how much reduction in cost needs to happen before some of these automotive companies may want to put it on in more models and cheaper models?
Joseph Harary: Absolutely. We have targets, and I am happy to say that they are feasible and achievable.
Jeff Harvey: Okay, that’s good to hear. My other question is, and I don’t know if you are going to add some kind color on this is, so as you said all along that these other OEMs in the automotive area anyways are waiting to see what the take rate is from Mercedes, I mean, what kind of, do you have any feel for, what kind of timeframe that is within automotive companies? Is it a six month period, is it that a year they are going to look at this?
Joseph Harary: Well, it’s going to a combination of two things. Number one is, how much data do they need to be comfortable, and the other is that they all have cars that are slated for introduction with SPD. So a lot of it’s going to depend on the lifecycle of that car, such as when does that car come on line? For example, if the car was just refreshed, and they don’t have enough data, they’re going to wait for more data. If the car is going to be refreshed in a year, maybe they, say, we have enough data now to make a decision. And of course…
Jeff Harvey: So do they need a year lead time to put it in a car of their design?
Joseph Harary: I am not saying what the lead time is. There is some car makers, such as the one that we mentioned earlier, and I think I said earlier in the last conference call, they are willing to take some shortcuts, they are willing to use the same suppliers as Mercedes, and accept the same testing as Mercedes, to accelerate the process. That’s because their car is being introduced at a time when they want to have this on it, and they are pushing for it. You know, if somebody has the luxury of time because the car is not getting redesigned for four years, they could do a full test protocol. They may not have to take the same shortcuts. Frankly, Mercedes, tested the hell out of this. I mean, they….
Jeff Harvey: Maybe so I guess my other question would be, why would another auto company do the same thing, go on with Mercedes testing?
Joseph Harary: Well if they have a car that’s near term and they feel comfortable enough with the data out there and you know there is other things, I mean, if you look at for example what’s happened with the S-Class in the United States, you know, Tesla has sold a lot of cars in the premium market and that’s eaten into the sales of BMW and Mercedes. So, you know in the high-end luxury markets, there’s going to be all these different kind of spokes to the wheel that are affecting things. In other words, I guess, the simple answer is, every automaker is going to be different, some have already pulled the trigger, as I mentioned earlier, and that may cause others to pull the trigger sooner.
Jeff Harvey: Is Tesla, somebody that you’ve talked to?
Joseph Harary: One of the things I mentioned earlier was that we are presenting at a lot of the conferences, and one of the main messages that we are presenting about SPD is that it increases driving range by 5.5% in electric vehicles.
Jeff Harvey: Now that they should be interested in.
Joseph Harary: Yes, so, we are talking to the right people, and our licensees are doing the same. You know, electric vehicles, is not as far off from being mainstream as, let’s say, autonomously driven vehicles but…
Jeff Harvey: No.
Joseph Harary: There is significant competition emerging in that market among all the mainstream players plus some new players besides Tesla that are out there. We and our licensees are talking to everybody.
Jeff Harvey: Yes, great. Thanks very much.
Joseph Harary: Thanks Jeff.
Operator: The next question comes from Chuck Michael, a Private Investor.
Chuck Michael: Hi, Joseph. How are you doing?
Joseph Harary: Hi, how are you doing, Chuck?
Chuck Michael: Good. I got a few questions someone had already asked and I am not going to repeat those. But I did have some questions. One as to the commercial aircraft market, commercial aviation.
Joseph Harary: Yes.
Chuck Michael: How are you doing in terms of trying to get into that market? I know, you have done general aviation but…
Joseph Harary: That’s a great question, Chuck and you know, just to put the question in context, the vast majority of aircraft deliveries are in the transport category market of the aircraft market. And when we talk about number of windows, it’s at least two thirds and 90% of the revenue for the whole market, so it’s definitely a sweet target to go after. One of the things we have going for us in terms of helping us there is that SPD technology is the longest flying technology in any aircraft market, including commercial, You know, we’ve been on the Airbus A380s since Qantas Airlines started taking delivery of those aircraft in 2008, but I think the most significant thing that’s happened in the near term is two things really. Our licensee Vision Systems has a dedicated Smart Lite division, and one of their strategies, and I am not revealing anything that should be a surprise to anyone, is specifically targeting the airlines because it’s the airlines that tell the OEMs what to put on their planes. The other thing that I think is highly significant, and very recent and very exciting, is Fokker Services. They are subsidiary of the largest structural window manufacturer in the world, GKN Aerospace. They have come up with a kit that the airlines can effectively use to quickly upgrade their windows to become SPD Smart, and according to their press release, so this is their projections that I can talk about not my own, they are talking about introduction in the third quarter of 2017. So you are talking about a fairly aggressive near term penetration into the biggest market for aircraft, and it’s something that we are very excited about and we’ve seen their product. I have seen the approach they are taking which is very modular. They want to have a cassette that you pop in that makes it easy to make your windows that are SPD-Smart, and I think just the ease of use, and the fact that there is a standardized kit, is going to be extremely helpful. You know, in some markets I wish we could do the same, such as in the architectural market where one of the questions we got is, why are we not in the big box stores. There you need standard sizes, and most custom windows for the architectural market are not standard sizes. So it’s a little bit more difficult to do it in that market. But you know, in things like automotive and aircraft, where we are really really strong, there is also a push towards standardization and economies of scale, and that’s been very helpful. But thanks for asking that question because the commercial airline market is certain a very juicy market for us and for our licensees.
Chuck Michael: Right. Also as to your cash available – maybe I didn’t read it correctly but from what I saw on the financial statements, you had just over like about $2.5 million in cash…
Joseph Harary: There’s an accounting reason it looks like that, but actually we had $5.5 million in working capital. It’s basically the way we have to account for things between cash and cash equivalents and other liquid investments. For example, if you have a longer-term CD, it’s not technically cash for accounting purposes.
Chuck Michael: Yes, okay, so that’s how you get to…
Joseph Harary: $5.5 million. Right, exactly.
Seth Van Voorhees: The monies that we have in six month CDs, bank CDs, are treated as short term investments and that equates to about $1.5 million on our balance sheet, and monies that we have in checking accounts and things like that are treated as cash and cash equivalents, and that equates to about 3 million.
Joseph Harary: And that it’s the same functional equivalent.
Chuck Michael: Yes, okay, alright, thank you. That helps. Also and then finally, I want to ask as to what your plan is as far as getting to profitability, because it seems like that’s always not we’re – never quite getting there?
Joseph Harary: Yes, I think that there is a couple of good takeaways from today’s call, and when people listen to the replay, you will probably kind of see this pattern developing. Number one is purely just continuing to push in every one of our markets, and we have licensees now that are pushing harder than ever before because they are devoting much more resources to this, like Vision Systems for example. Then of course you have the cost volume relationship that is also going to increase volumes, and then you have just synergies by developing critical mass. You have one OEM, they put it in one model, and then another, then another, then another, then another. Each one of those models becomes accretive to revenue. Then you have a second OEM, and that happens again, and that becomes accretive to revenue. In the meantime, the take rates go up and each model becomes a more significant contributor to revenue and to profit and before you know it, we’re cash flow positive, and then we’re profitable.
Chuck Michael: Yes.
Joseph Harary: And each time you have a success, it creates another success.
Chuck Michael: So are you confident then that you’re going to be able to get with mass production, i.e. as you will be able to get the cost down, so you’ll, in other words, you could maybe get enough windows out there, so you can get the cost down to become a mass production?
Joseph Harary: Yes, as I mentioned, we have a cost reduction initiative in place with key areas of our supply chain and the targets that we need to achieve are feasible and can be near term targets. One of the things that we have, that our competitors in other markets like the architectural market don’t have, is that we have the ability to have relatively high volumes in standard sizes in areas like the automotive market and the aircraft market. So we have markets that are really good markets that our competitors in other markets wished they had, and that also helps too. So you know, there is no magic to this, it’s really just having a very simple approach which is, Seth, Mike and I are on planes more often than we are here probably. We are visiting the customers, we are building awareness, and we are talking about specific programs and generating business. So that’s the approach. You know, in this business some of it shows up right away, I mean in the architectural market, you will see things kind of pop up into place. In the automotive and aircraft market, it’s somewhat more up to the customer, the OEM, to decide when they are going to talk about something, that doesn’t mean that the activity hasn’t been going on, or they are ready to pull the trigger, and then it’s just a matter when do the marketing guys get involved. So yes, it’s a pretty straightforward approach, and in all five markets, we are doing the right things to continue that approach.
Chuck Michael: Okay, thank you guys.
Joseph Harary: Thanks.
Operator: The next question is from Thomas McCarthy, Raymond James.
Thomas McCarthy: Hi there, gentlemen. Two questions.
Joseph Harary: Hi Tom.
Thomas McCarthy: Hi, good. Two questions if there is enough time. One is, what can you tell us now about the amount of likely business from Viking Cruiseships, and what kind of timeline are we talking about. And then related to that is, is there anything in the works with other cruise ship companies?
Joseph Harary: Well without talking about any specific customer, the amount of business in the cruise market is potentially huge because to some extent these are floating architectural projects. Whether they choose to deploy this on their premium staterooms, or in every cabin on their ships, is going to depend on where the revenues swing to. To answer the second question, we are not just talking, or our licensees are not just talking, to one. You know, you validate a product with one manufacturer or with one customer, and a lot of legwork has already been done for customers two, three and four. So yes, we definitely see that as a nice market, and as I mentioned in the last call, I was really pleased to see that the cruiseship market is beginning to develop.
Thomas McCarthy: Okay, the second question is bring us up-to-date on status and plans for these demos or SPD technology that would be in Mercedes Benz showrooms?
Joseph Harary: Okay, so we in coordination with MBUSA, Mercedes-Benz USA, in Atlanta have a constant dialog going back and forth about the most effective ways of deploying these demo units, and who the right dealers are, and who the right people in these dealers are, and where the business is. So we’ve been getting very good cooperation from MBUSA, and they have an approach that they’ve suggested to us as to how to best deploy these demos, and we have been following that approach. So we started in the southern market, and just to refresh everyone’s memory, or for people that may be new to the company, there are four main regions where MBUSA divides the U.S. market into: the South, the Northeast, the Northwest and the Southwest. And it’s not necessarily, what you would think of geographically because the Northeast actually goes all the way over to Colorado, I believe. But it’s more of business regions. We started in the South, that was the area where there was a particular concern that the glass panoramic roof on the S-Class, which is standard, might be bringing in too much heat, and customers needed something that would be a very effective heat control item. Remember, we reduce cabin temperature by 18 degrees which is very significant. If SPD-SmartGlass was standard equipment, that is significant enough of heat reduction to reduce the size of your air-conditioning compressors by 40%. But as an option, what it does in reducing heat buildup inside the car is something that the customers in the Southern region can certainly rally around as a benefit. So we started there in the Southern region, got good feedback, now we started to move into the Northeast, which was the second region that our customer, MBUSA, suggested doing. At the same time, if you look at worldwide, so we are not just focusing on the U.S. but we are focusing on the key markets for the S-Class in particular around the world, you have China as the largest market, you have the Middle East and Russia and the United States as the other major markets. So in each of these markets, it’s a little bit of a different specific approach, but basically the same concept. There is usually a couple of decision makers that are approachable in each market. So for example there are megadealers in China. There is a distributor in China that also is highly influential. In Russia, it’s probably similar. There are distributors and maybe not so many megadealers, but more distributors that are controlling that market. In the Middle East, the same thing. So those are the approaches we take to duplicate this basic dealer awareness approach in each market. And these are as we’ve expressed in the past, hand-held desktop models that we developed in conjunction with feedback from the dealers as to what they would want to see. They have been very well received, and judging from the higher take rates we were seeing, they are being an effective sales tool.
Thomas McCarthy: Do the dealers and distributors help pay for the cost?
Joseph Harary: No. We pay for these. We basically are going in there and giving them a nice little sales tool as a present, because quite frankly, you sell one more car and you probably paid for the entire demonstrator.
Thomas McCarthy: Sure, so…
Joseph Harary: Probably make sense and it’s money well spent because, you look at the four regions, you look at who is selling most of the S-Classes, it’s not that many dealers, you know, 10 or 15 dealers in each region probably is all you’re talking about that are the top sellers. So even if you went down to 20 dealers in each region, there’s four regions, that’s 80 dealers in the United States, it’s certainly a doable thing.
Thomas McCarthy: How many of these demos are being used now in the United States?
Joseph Harary: I’d rather not disclose that because there’s some dealers that haven’t gotten those yet and we don’t want anyone to feel left out of the process, so it’s being deployed in a sensible and methodical way.
Thomas McCarthy: Do you expect to cover most dealers?
Joseph Harary: Yes, well most of the key dealers for the S-Class and like I said, we’ve been getting very good cooperation from MBUSA as to who we should be focusing on, and where the sweet spots are. You know they realize that we need to deploy our marketing dollars effectively also.
Thomas McCarthy: Very good. Thank you, Joe.
Joseph Harary: Thanks a lot. Operator The next question is from Steve Omakn [ph] with Target [ph].
Unidentified Analyst: Hello?
Operator: Right, please go ahead.
Joseph Harary: Hi Steve.
Unidentified Analyst: Yes, hi, Joe, how are you?
Joseph Harary: Good, how are you?
Unidentified Analyst: Not too bad, I would like to thank you personally for remarking earlier today about asking regulators to look into the stock price.
Joseph Harary: Yes, we are trying to keep this as honest of a playing field as we can, and unfortunately, it’s not. But we’re doing our best while still not taking our eye off the main ball which is our business. So referring it over to the regulators and letting them do their magic is, I think, the best use of our time so we can focus on the business development side.
Unidentified Analyst: Okay, now by regulators, is this the SEC?
Joseph Harary: FINRA is really the overarching regulator that would be relevant here.
Unidentified Analyst: Okay because I made a purchase today and I think the digits on it stretched out for five or six fractional of a $0.01?
Joseph Harary: Really that stuff is going on also now.
Unidentified Analyst: Oh yes, that’s been going on for a while but last week one day, or two weeks ago, I watched the purchase of like two or three shares go through and actually fluctuate the price a couple of cents. And I am thinking Etrade or ScottTrade was probably the cheapest broker out there or one of them, and somebody is spending $6, $7 on a trade to buy $6 worth of stock.
Joseph Harary: Right, it make no sense.
Unidentified Analyst: It’s frustrating and I am thinking now, you know, how are they doing this? And it’s been going on so long that it’s almost commonplace that such a low volume stock should fluctuate out to those digits like say Ford Motor Company or IBM somebody that’s trading in millions goes out less [indiscernible] than these guys?
Joseph Harary: Yes, I agree and like I said, we are trying to keep the market as honest as we can from where we sit, but the regulators, they took interest in the fact that some things being done look improper. But we have to focus on our business and I think that’s the main thing we can do to help investors is just really push the business development in all five markets, increase our revenues, and at some point it becomes difficult, if not impossible, to get in the way of a freight train. And we hope to be that freight train.
Unidentified Analyst: And the other question is in your talks with Mercedes, have they ever brought up the point that you know in the near future they’re going to be showing commercials, television commercials where they are actually showing people this stuff?
Joseph Harary: Most of what they have been doing visually has been on a digital marketing side, so they have pretty amazing commercials. I mean, if you look at for example what they did with even their Silver Arrow Yacht, it looks like a mini James Bond movie and….
Unidentified Analyst: Yes, yes.
Joseph Harary: You go to our YouTube channel, you could see some of these things that Mercedes has done. In terms of an advertising buy on the Super Bowl, I mean, they own the stadium, so I guess they could do lot more than most other companies, but you know, we haven’t had those discussions yet.
Unidentified Analyst: Okay, well thanks for your time and let’s hope we turn around by the end of the year.
Joseph Harary: Thanks.
A - Joseph Harary: I think what I would like to do now is maybe make some closing remarks, to maybe help put some of these things together for people since I don’t believe there is any other questions in the queue. First of all, let me say how much I appreciate everyone’s patience. We covered a lot of ground today and I think there was some new information I am sure our shareholders welcome having. When we look at all the markets for our technology, we can get a pretty clear indication of what we could expect as investors. Our biggest market, automotive, has rebounded and now that the temporary effects we discussed in the last conference call are behind us, we see a lot smoother sailing in that market. And in our second biggest market, aircraft, the temporary lull that we had, where one OEM did the design upgrade, is now behind us and delivery of new aircrafts with these improvements that were requested by the OEM have been started again. So, this should also result in higher fee income from the aircraft market in the fourth quarter and beyond. And then of course, you got new aircraft that are coming online using our technology and potentially a very significant aftermarket product coming out in the third quarter of 2017. We’ve also seen during the last quarter some pretty strong results in the train and mass transit market and we expect these markets to also be good growth areas for us. And in the architectural market, you saw some pretty interesting projects begin to be announced by our licensees such as the University of Edinburgh. Remember this was a retrofit upgrade which I think is significant. And then there are other architectural projects that are expected in the fourth quarter, as well as, and perhaps I am speaking ahead a little bit, there are some completely new products in the markets that are emerging as the world begins to better understand all the things that SPD-SmartGlass can do. In some of these cases, I think they are going to be very nice, new uses that people haven’t thought about for our technology. And I know that me, and Seth and Mike Lapointe, who I mentioned, the three of us are the primary business development team here at Research Frontiers, might have been harder than usual to reach for those people that contact us between these quarterly conference calls. We have been traveling quite a bit across continents, and often have had back to back business trips lately. I think, the concept for the three us of time zones is something that we don’t really understand anymore. We just go where we are needed. But I think you will see the results of these efforts in the coming months, both with an expansion of our existing business, and our technology entering into new markets and new products. And our efforts to expand into these new markets and new products are certainly being amplified by our licensees who are also doing the same. We have a great group of licensees. So they are quite motivated and together we are working hard and devoting meaningful resources towards our combined success. This year was one of accomplishments that will lead to I believe ever increasing revenues and profitability. Our technology was experienced by more than 6 million people through the Milan World Fair, which was great exposure. The worlds’ leading premium automaker put us in five different car models including the best selling luxury sedan in the world. We went from being an option on 29,000 cars few years ago, to 42,000 cars last year, to now being an option on over 120,000 cars within Mercedes. And this year at least one other automotive OEM, so far, has selected SPD for serial production. So moving to the other markets, we have been selected for being used on both commercial and private aircrafts. We are the first, and longest flying, switchable window technology in the aircraft market, standard equipment on seven different aircraft models, and as I mentioned now with the commercial market and an aftermarket product being introduced by Fokker in that area, I think that there is some real potential there for explosive growth in the aftermarket and commercial marker. We’re being used on yachts and cruise ships, trains, and other mass transit vehicles now and we are even protecting some of the most precious artwork and historic documents in museums around the world. So the seeds of success have now been planted in all of our existing markets. As I mentioned, new products and new markets are developing, and we are working hard to achieve that success. For all of us at Research Frontiers, we appreciate the trust and investment by our shareholders that have made this possible. So I thank you all for this and for participating in today’s conference call and I encourage you all on Tuesday to please vote. It’s your right and you should exercise it. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.